Executives: Tait Sorensen - Group Vice President of Investor Relations Carlo Bozotti - Chairman of Management Board, Chief Executive Officer, President and Chairman of Corporate Strategic Committee Jean-Marc Chery - Chief Operating Officer and Vice Chairman of Corporate Strategic Committee Carlo Ferro - Chief Financial Officer, Executive Vice President of Finance, Legal, Infrastructure & Services and Member of Corporate Strategic Committee
Analysts: Sandeep S. Deshpande - JP Morgan Chase & Co, Research Division Amit B. Harchandani - Citigroup Inc, Research Division David Mulholland - UBS Investment Bank, Research Division Achal Sultania - Crédit Suisse AG, Research Division Youssef Essaegh - Barclays Capital, Research Division Adithya Metuku - BofA Merrill Lynch, Research Division Robert Sanders - Deutsche Bank AG, Research Division Gianmarco Bonacina - Equita SIM Spa, Research Division Guenther Hollfelder - Baader Helvea Equity Research Tristan Gerra - Robert W. Baird & Co. Incorporated, Research Division Martin O'Sullivan - Cenkos Securities plc., Research Division Dan Gardiner - Arete Research Services LLP
Operator: Ladies and gentlemen, good morning. Welcome to the STMicroelectronics First Quarter 2015 Earnings Results Conference Call and Live Webcast. I'm Moira, the Chorus Call operator. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Mr. Tait Sorensen, Group Vice President, Investor Relations. Please go ahead, sir.
Tait Sorensen: Thank you, everyone, for joining our first quarter financial results conference call. Hosting the call today is Carlo Bozotti, ST's President and Chief Executive Officer. Joining Carlo on the call today are Jean-Marc Chery, Chief Operating Officer; Carlo Ferro, Chief Financial Officer; Georges Penalver, Chief Strategic Officer; Carmelo Papa, Executive Vice President and General Manager of Industrial & Power Discrete. This live webcast can be accessed through ST's website. A replay will be available shortly after the conclusion of this call. This call will include forward-looking statements that involve risk factors that could cause ST's results to differ materially from management's expectations and plans. We encourage you to review the safe harbor statement contained in the press release that was issued with the results this morning and also in ST's most recent regulatory filings for a full description of these risk factors. Also, to ensure all participants have an opportunity to ask questions during the Q&A session, please limit yourself to one question and a brief follow-up. And as a reminder, ST will host its annual Investor and Analyst Day in London on May 12, so we will hope to see you in London. And at this time, I'd like to turn the call over to Carlo Bozotti, ST's President and CEO. Carlo?
Carlo Bozotti: Thank you, Tait, and thank you for joining us this morning on our first quarter earnings conference call. On the agenda today, there is a review of the quarter, including our 2 product segments, the results and opportunities with the products introduced in 2014 and our new design wins. We will then turn to our second quarter outlook. Let's move to the first quarter results. The start of the year reflected the expected seasonal softness, while a couple of other factors that I will comment upon later affected our revenue performance. Our gross margin was instead well aligned with our guidance. And despite the seasonal factors, we generated again positive cash flow. Turning to sales. On a sequential basis, our net revenues decreased 6.8%, slightly better than our historical seasonality. Revenues totaled $1.71 billion and were affected by a lower contribution from euro-denominated sales of about $19 million, mainly associated with distribution and impacted -- impacting in particular our SP&A segment. Specifically, we came in below our midpoint target because of lower sales of power supply components for PC-related applications. Looking at our channel mix, about 30% of net revenues came through distribution compared to 32% in the fourth quarter, with the lower percentage largely related to both currency and PC-related demand. Turning to our gross margin. We delivered well in line with our outlook, coming in at 33.2%. On a sequential basis, this represents an increase of 60 basis points, our normal beginning of the year pricing changes partially offset by currency benefits, net of hedging. The gross margin reflected about 110 basis points of unsaturation charges in the first quarter in connection with our manufacturing capacity in digital technology. At the operating expense level, combined R&D and SG&A were $591 million. On a sequential basis, operating expenses decreased about $20 million, reflecting a lower number of days in the quarter as well as favorable currency effect. [Audio Gap] account about $35 million of R&D grants, net operating expenses were at the low end of our net operating expense range of $550 million to $600 million, coming in at $555 million. Restructuring costs during the first quarter were $29 million, principally in connection with the EPS cost reduction program and the finalization of the closing of our back-end plant in Longgang in China. Operating income before impairment restructuring was $10 million compared to $8 million in the year-ago quarter. First quarter operating margin was 0.6% and reflected the impact of 110 basis points of unused capacity. The benefit of today's currency environment is still limited on our profitability due to outstanding hedges. Excluding existing hedging contracts, operating margin would have increased by over 300 basis points. Free cash flow was $41 million in the first quarter compared to a negative $51 million in the year-ago period, representing a $92 million positive swing. We benefited from a strong increase in net cash from operations. During the quarter, ST paid a cash dividend totaling $82 million. As I had noted at our May 27 Annual General Meeting, ST Supervisory Board is recommending the approval of a cash dividend of $0.04 per share to be distributed in quarterly installments of $0.10 to shareholders of record in each of the second, third and fourth quarters of 2015 and the first quarter of 2016. We believe this is a clear sign of confidence in ST's solid capital structure today and moving forward. Now let's move to a summary of our segments' performance. As a reminder, starting from the first quarter, unused capacity charges are allocated directly to the product segments. Looking first at SP&A. Net revenues were $1.12 billion. SP&A operating margin, including unused capacity charges, decreased to 6.4% in the 2015 first quarter from 8.4% in the fourth quarter, reflecting lower revenues and not yet benefiting from favorable currency effects of about 2.9 points due to hedging. Within SP&A, let me begin with AMS. Our revenues in the first quarter totaled $255 million, representing a sequential reduction of 4.3%. At the same time, our expansion into key customers and product diversification initiatives has started to regain momentum. This is visible in the latest smartphones and smart watches launched on the market and in the most recent teardowns. During the first quarter, we ramped production at our high-end touchscreen controller and pressure sensor for Samsung's Galaxy S6. We also delivered our high-performance microphones in high volume to another leading smartphone brand. Our latest ultra-low-power 6-axis motion sensor was chosen for another Samsung smartphone. This new motion sensor, which was awarded Product of the Year by Electronic Products and MEMS Industry Group, is gaining traction worldwide with important customers. In fact, during Q1, we ramped production from -- for a global brand to use it in a wearable application, and we were also chosen by a top Chinese brand for their latest model. Another important growth opportunity is linked to laptops and tablets, where our MEMS continue to help change human-computer interaction. In March, we announced the adoption of our micro-mirrors and control devices by Intel for their Perception Computing initiatives. We have now started production for several end customers. We also made advances in sensors for the automotive market, ramping production for a number of inertial sensors in car navigation and telematics applications in Korea, Europe and in U.S. Turning now to APG. Net revenues in the first quarter totaled $434 million, essentially stable with the fourth quarter despite an exposure to euro-denominated revenues larger than the company's average. During the quarter, we continued to build on the strength of our broad-based portfolio, recording wins across our strategic areas of focus. In car infotainment, we won a significant number of awards for our latest generation car radio processor with important manufacturers in Korea and in Greater China. Our Accordo platform is becoming a de facto standard of the car radio market. We also expanded our presence in audio amplifiers with additional design wins for our Class-D car audio amplifier with a top Japanese brand and with a leading Korean maker for the European market. In 32-bit microcontrollers, we continue to expand our presence at major Tiers 1 with key wins in Europe and China in the areas of body and powertrain. We also gained in the mass market, where, among other successes, we earned a design win from a market leader in the growing area of e-bike applications. In active safety, we earned additional sockets for a next-generation Advanced Driver Assistance System with a major European carmaker. And in smart power, we recorded the major design win with a European market leader in a power steering related application using our proprietary BCD9 technology. Turning to our Industrial & Power Discrete group. Net revenues totaled $430 million. Sales increased by 6.8% on a sequential basis largely due to sales to power supply components for PC applications as well as exposure to euro-denominated revenues. During the quarter, we recorded a number of achievements across our focus areas. In energy management for portable equipment, we ramped production of an AMOLED power supply chip for Samsung's S6, and we continue to gain traction with RF Integrated Passive Devices for smartphones and Internet of Things applications with leading global brands. In power transistors, we have one of the broadest product portfolios of the industry. Here, we gained several design wins. To name a few, we were awarded low-voltage PowerMOS in a power supply for game console applications. We landed a win for high-voltage IGBTs for an induction heating application with a major Chinese customers, and we won a design for high-voltage MOSFETs in Ultra High Definition display applications. In power conversion, ST revealed, together with Flextronics, the world's first plug-in charging platform for mobile devices with 0 no-load power based on our multimode power management controller. We also captured wins for high-voltage power converters from several mass-market customers in Greater China. Turning now to EPS. Revenues were $581 million and continued to reflect mixed dynamics. On one hand, MMS revenues decreased 3.7% on a sequential basis, better than the company average. On the other hand, EPS revenues in total decreased 12% on a sequential basis mainly due to the decrease of ST-Ericsson legacy products and lower DPG sales for consumer and imaging products. EPS had a negative operating margin of 11.1%, including unused capacity charges, improving from negative 13.1% in the year-ago quarter mainly due to lower operating expenses and the higher R&D funding. And of course, EPS is not benefiting yet from favorable currency effects of about 3.8 points due to hedging. Despite the new product introduction in DPG, the decline of legacy products, including entry-level set-top box, camera modules and former ST-Ericsson products, continue to outpace the ramp of new product revenues in the first quarter. During the quarter, we made progress in ramping new families of innovative products. And among these, we began delivering the latest Ultra High Definition P60 quad-core Cannes and Monaco family systems-on-chip ICs to a European customer. We are working to reduce cost largely in DPG. In that regard, we made progress during the first quarter. We also transferred over 90 employees in Asia to a leading software company and partner of ours. And as expected, we will exit from the IBM Technology Development Alliance at the end of the second -- of this second quarter. Turning to MMS. The group had a solid quarter with net revenues of $374 million, posting a sequential decrease of 3.7% and growing 8% year-over-year, building on the strong performance already achieved in 2014. In general, our microcontrollers -- sorry, in the general purpose microcontrollers, the richness of our product portfolio is a pillar in the overall product and market leadership and the driver of our year-over-year growth in this area. Today, we offer over 600 STM32 part numbers. In the first quarter, we further extended our product range with the STM32L4, which allows designers to get higher performance and larger memory without trading power consumption. We also recorded important STM32 wins with major customers. For example, one for a wireless accessory for tablets for a global brand; one in Samsung Galaxy S6 as a sensor hub; and 2 in a high-end fitness band for another important mobile and wearable player. We also made important steps in secure microcontrollers. We joined forces with the Austrian company AMS to launch a breakthrough reference design for secure contactless Near Field Communication transactions and mobile payments in the smallest phones and wearable devices. And we captured a Near Field Communication Tag design win in a next-generation headset at a major audio equipment OEM. Looking at our product portfolio moving forward, key products driving growth for the second quarter include filters and protection devices as well as power-rich discrete for -- from IPD, touchscreen controllers and 6-axis motion MEMS from AMX (sic) [ AMS ], microcontrollers from APG, STM32 microcontrollers and the Secure Element from MMS. On the other hand, a large-volume socket within DPG has been very recently postponed, reducing our expected revenues for this product in the second quarter and in the next quarters. In the second quarter, we expect to increase our revenues by about 3.5% sequentially with most of our product groups contributing. This outlook incorporates an estimated top line currency impact of about $16 million. Gross margin is anticipated to increase by about 60 basis points to 33.8%, including existing hedging contract, significantly mitigating the positive impact from currency. Our firm objectives in 2015 continues to be to achieve a very significant year-over-year improvement in our operating performance. My colleagues and I would now be happy to take your questions.
Operator: [Operator Instructions] The first question is from Sandeep Deshpande from JPMorgan.
Sandeep S. Deshpande - JP Morgan Chase & Co, Research Division: I have a couple of questions. My first question is regarding Analog & MEMS. We have seen the Analog & MEMS revenue in the quarter again versus the previous quarter was down sequentially. Would you be saying that now from here, based on your guidance and based on the wins you've had, that business has bottomed out and the business revenue should improve from here? Secondly, my question is on the Digital Product Group. Carlo Bozotti, you mentioned that there were some design wins which was postponed again. Or was this one of the ones which was postponed in the second half of last year? Or is this something new that we are seeing at this point? And overall, my question is that, well, how will we see the currency impact gross margin by the end of the year based on what you have on your hedges? Of course, the currency impact to operating expense is different in a slightly different manner.
Carlo Bozotti: Well, indeed, 3 questions, Sandeep. So I will take the first one. Yes, indeed. I mean, we believe that on our AMS groups, where we have our low-power activity and our MEMS activity -- excuse me, low-power analog activity and MEMS activity, we believe that with the new product introductions and the wave of design wins, Q1 is now the bottom and we shall restart growth moving from Q1 to Q2, both sequentially but also year-over-year. There is a number of products that are contributing to this. In general, the new family of gyroscope is a pretty high-performance family and we have started to see important traction with several customers. So this is one. Another area is our touchscreen. This is also a pretty successful product in customers. And in general, our new microphone activity is pretty successful. So the combination of the new products' introduction and also the diversification of the customers and some stronger presence at our traditional major customers would indicate that we can restart growth both sequentially and year-over-year on this product line. Now to respond to the second question, well, I would leave this to Jean-Marc. But indeed, this is a new product. I mean, it's not the same that we mentioned earlier in previous meetings. But Jean-Marc, please comment here.
Jean-Marc Chery: Well, this is new. So basically, this is a digital custom product for consumer application, and I cannot comment more. And of course, it is a material impact for EPS and company-wide, also why we have not mentioned this information.
Carlo Bozotti: For the gross margin, Carlo?
Carlo Ferro: Yes. Yes, you're right. At the end, the impact of the currency on gross margin and operating margin of course materialized progressively, as anticipated, because of the hedging through the year, quarter after quarter, and the one in the first quarter at the end is only a limited part of the overall impact when considering the euro-dollar at -- in a range between EUR 1.08, EUR 1.10 on the bulk of the current trading. Short answer to your question is there are about -- or a bit over 2.5 points of additional gross margin to come once we will see the full effect on our P&L after hedging on the current euro-dollar range.
Operator: The next question is from Amit Harchandani from Citigroup.
Amit B. Harchandani - Citigroup Inc, Research Division: Amit Harchandani from Citigroup. Two questions, if I may. Firstly, could you maybe comment on how you're seeing bookings shape up during the quarter across your different segments? And what levels of visibility do you have as you look forward to the next quarter and beyond into the second half of the year? Secondly, in terms of OpEx, this quarter was closer to the lower end. I think you mentioned $555 million. How should we think about OpEx trending during the course of the year? And just maybe finally, a quick clarification, if you would clarify your exposure to the PC end market as well as the communications end market?
Carlo Bozotti: Well, maybe let's start from the booking trend. I -- particularly in the month of March, we saw some correction. The correction is -- for us is, I will say, a negative correction during the month of March of the booking trend. And that has also impacted the billing effect. The correction for us is mostly on power products. This, of course, is large variety of product -- power products, either discrete products -- and also, this was indeed mostly in Asia, I would say Greater China, China, Taiwan. And of course, not only with Chinese customers. This is -- what I'm referring to here is the point of billing and is impacting both OEM customers and our distribution channel. For the rest, it was fine. I mean, we see traction. For instance, in the automotive, I think particularly in Europe and in the United States, we see good traction with our major smartphone customers, good opportunity. As I had already mentioned in earlier calls, China was very much [indiscernible] at the quarter was -- on the PC, on -- it's a little bit premature to have a conclusion here on this correction, but I have to say that in the guidance that we have given, there are areas -- still areas of weaknesses in PC and PC-related products. But from a geographical point of view, I would say there is some recovery, sequential recovery, in our Greater China region. So I think this is the first one. There was a second one, Carlo, that you can take.
Carlo Ferro: Well, certainly, Carlo. It's about the operating expenses in Q1 and going forward through the right in that equation. Indeed, you're right. Indeed, expenses in Q1 at the end went really towards the low end of our range, $591 million gross expenses, $555 million net of the grants. And this does not include yet the full effect of currency, as the hedging has impacted expenses negatively this quarter by $23 million. So you have the number for your modeling. We need also to say that first quarter is the quarter normally seasonally lower in expenses because of the number of days because of vacation dynamics. I would expect going forward that expenses would remain overall at that level, including all the various ingredients that are out of the hedging and the normal and usual inflationary expenses dynamics with the characteristic of following the calendar and the vacation calendar in the various quarters. So you may expect eventually Q2 to be slightly higher, the Q4 to be slightly higher and Q3 to be significantly lower than the first quarter. And of course, when projecting on the second half of the year, we're also considering the effect of the completion of the expenses realignment plan ongoing in EPS.
Amit B. Harchandani - Citigroup Inc, Research Division: That's very helpful, gentlemen. And on the third one, your exposure as a percentage of sales to maybe PC and communication market?
Carlo Bozotti: Well, on the -- overall, on the PC, I think the -- if we put together both computer peripherals kind of products and battery chargers, power supplies for PC applications, if we look at the communication infrastructure market, our overall dependence is, I would say, much more limited. And this is an area where we are present with our ASIC business and with some commodity and standard products, but I would classify in the range of, I would say, $300 million, $400 million per year.
Operator: Next question is from Mr. David Mulholland from UBS.
David Mulholland - UBS Investment Bank, Research Division: Just firstly on your Q2 gross margin guide, I wonder if you could just help us understand. You've mentioned a bit what the hedging impact is. But what have you included in the Q2 guide? And also, what underutilization charges are you assuming carries on in Q2? And secondly, you mentioned on pricing pressure. I wonder if you could clarify exactly what areas you're seeing some of that in or was it just, as you mentioned, annual price deflation from customer agreements? And then I've got one third that I'll come back on.
Carlo Ferro: Perhaps we'll start with the question on the gross margin dynamic from Q1 into Q2. So at the end, there are 3 blocks of ingredients. One is about the currency. Of course, on the currency, we're going to have another step where we're not complete yet in respect to the over 2.5 points of additional benefit I have just mentioned, assuming the exchange rate is staying at this level. Between Q1 and Q2, we expect to capture less than 1 point or about 1 point of improvement of gross margin. In respect to the utilization of capacity, the plan is to improve the level of utilization of capacity in those steps that have generated the $19 million of unused capacity in the first quarter. However, for both the second quarter and even perhaps going forward through the year, we do expect to basically half it but not to fully cure and fix it. In this respect, you may anticipate an about 0.5 point of improvement in the gross margin, thanks to lower unused capacity charges. And then there is the overall combination of price mix, including revenues from licensing that quarter from quarter are never even, and some of the effect of the efficiency that eventually, with lower saturation in Q1, has been less than what could have been or has been in other quarter. And this is an overall detractor. These factors altogether detracted from the gross margin dynamic less than 1 point. So this is the bridge to go from the 33.2% actual in Q1 to the 33.8% midpoint for our second quarter guidance.
Carlo Bozotti: Yes, on the prices, I think there is nothing specific to mention. I think, of course, with the start of new year, we have the new contracts with some major accounts. They are yearly new contract. I would say that if there is an area where we have seen recently a stronger price pressure, I would say this is on discrete products and probably is somehow related to the price [ph] correction that we have experienced in Asia.
David Mulholland - UBS Investment Bank, Research Division: That's great. And just one final one on the postponement that you mentioned in digital. Can you give us any color whether this was a FD-SOI ASIC product and whether this is purely because the actual product the customer was looking to sell has been postponed or whether they're proceeding with a different approach, just to understand the dynamics, whether it's the actual end product delay or just specific for your business?
Carlo Bozotti: Yes. Yes. It's not an FD-SOI product, and is -- the program is postponed but not canceled.
Operator: Next question is from Achal Sultania from Crédit Suisse.
Achal Sultania - Crédit Suisse AG, Research Division: So just on Automotive, I think last quarter you talked about some revenue opportunity you left on the table because of some delays. I just wanted to get a sense of whether that was actually captured in the quarter or not. And also, obviously, I think your exposure to euro in that business is significantly higher than the rest of the group. Can you give us some sense for what revenues would have done constant at FX in the Automotive business? And then I have a follow-up on FX as well.
Carlo Bozotti: Yes, no, I think we -- of course, we are back to normal in our manufacturing activity. Now I -- Carlo Ferro is making some math. I think overall in our Automotive business, we have between 20% and 25% of revenues that are denominated in euro, yes? So Carlo, what is the math?
Carlo Ferro: This is about -- you have already mentioned, Carlo, in your introduction that at the end, overall for the company, the impact in the first quarter has been $19 million. I'll say that out of this $19 million, some $7 million, $8 million belongs to the Automotive Product Group.
Achal Sultania - Crédit Suisse AG, Research Division: Okay, that's very clear. And then I think last quarter, you also mentioned -- you gave us some numbers around how much your exposure is at what hedging rates for the euro-dollar for Q1, Q2, Q3, Q4. Can you give us an update on those numbers?
Carlo Ferro: Certainly, we can. And here again, so when referring to the second quarter, maybe what could be the most beneficial, I believe, I will give you the effective rate for each of the next quarter, assuming the euro-dollar rate of yesterday evening. That's EUR 1.11, right? This is, I guess, what you've asked. So on the -- for the second quarter -- in first quarter, as you noted from the press release, the effective rate, the combined rate of actual rate and hedged rate, has been EUR 1.23; for Q2 is expected EUR 1.17; for Q3, EUR 1.15; and for Q4, EUR 1.13. When modeling the revenues, please consider that revenues are not hedged. So the currency impact on revenues refer to the actual rate before hedging. And this is the reason why in Q1, we had a more significant impact on revenues. So the revenues should be modeled based on the actual rate, considering and knowing that about 15% -- 14%, 15% of our revenues or total revenues of the company are euro denominated.
Carlo Bozotti: Yes, overall in Q1, we had hedging costs for about $54 million.
Achal Sultania - Crédit Suisse AG, Research Division: Sorry, how much? $54 million?
Carlo Bozotti: $54 million, yes.
Operator: The next question is from Youssef Essaegh from Barclays.
Youssef Essaegh - Barclays Capital, Research Division: Actually, most of them have been answered. If I may eventually just -- if you can you remind us a little bit of the time line of your set-top box products? It's slipped a little bit since last year. So if you could just tell us again exactly where you are now.
Carlo Bozotti: Yes, Jean-Marc, you want to take this?
Jean-Marc Chery: So as we said, okay, despite our new product design wins mainly in the area of Ultra High Definition and 4K2K, P60 application, we were still seeing early this year product decrease, which is outpacing our design wins, ramp up in new product. Of course, we are seeing as well in certain extent some slight delay in the Ultra High Definition 4K2K adoption, which is amplifying a bit also this picture.
Youssef Essaegh - Barclays Capital, Research Division: So what would you do then? How would you describe therefore the revenue ramp towards the second half of this year? Or is it more that it's going to at the moment remain flat and then maybe some recovery next year? Or -- I'm not sure what to do with all these moving parts.
Jean-Marc Chery: So the dynamic will remain. Of course, it will be slightly delayed because it's difficult to anticipate the [indiscernible] between the legacy product decrease and the new design win product increase. This is linked to the customer adoption and the ramp-up of their own program. But okay, we are -- what I can say, we are on track in our design product activities and product development. Now we are linked to the market adoption, customer growth. But of course, okay, we are still facing a legacy decrease according to our forecast of our products.
Youssef Essaegh - Barclays Capital, Research Division: But do you -- one last follow-up on this, if you don't mind. Given all the mergers or non-mergers happening in the U.S., do you expect the outcome of some that haven't been pronounced yet to impact on your expectations for the ramp? Or has that nothing to do with the cable wars [ph] in the U.S.?
Jean-Marc Chery: No, no, we are not seeing any impact.
Operator: Next question is from Adithya Metuku from Bank of America.
Adithya Metuku - BofA Merrill Lynch, Research Division: Yes, I have 4. Firstly, on your gross margin guidance. If I do the maths using the average of FX rates you've given for 1Q and your FX assumption for, say, the second quarter, I would have expected around 150 bps in tailwinds. You said you expect less 1 percentage point from FX. Can you explain why it's so low? Secondly, on the DPG product group, when do expect this postponed socket to come back? And how should I think about the revenue evolution in the second quarter and for the rest of the year? And also, can you confirm how big legacy is as a proportion of the DPG revenues? Now finally, on the costs, you said earlier on the sequential evolution, how the evolution is going to be in the second, third and fourth quarters? Does this include FX and the OpEx savings you expect from the program you announced in the fourth quarter? And finally, I take it you had taken the current FX rates when providing your revenue guidance. Am I right in assuming so?
Carlo Ferro: Okay. So there are many questions so I'll try to answer, and please remind me at the end who the -- I have missed any of your questions. Starting from the last one, yes, then -- the revenue guidance refer to the current exchange rates. And these also are -- to answer the first of your question, I guess what is eventually different -- could be different in your modeling is that to fully capture the impact on revenues, that has been $19 million negative in Q1, and is expected to be $16 million negative in the second quarter. Then, another question was about the OpEx progression going forward in respect to the ongoing initiative to realign expenses in EPS. In this respect, the plan, as Jean-Marc said in the press release, is on track and progressing. In the first quarter, we have captured a portion, about 30%, of the total target savings of $25 million per quarter. For the second quarter, we expect to move on with another about 25% of progress on this plan. And then progressively, these will kick in for the full effect in the second half of the year.
Adithya Metuku - BofA Merrill Lynch, Research Division: Okay. And just a question on DPG. When do you expect the postponed socket to come back? And how should I think about the evolution through the rest of the quarters? And finally, if you could say how big legacy is as a proportion of DPG revenues.
Carlo Bozotti: What opportunities?
Tait Sorensen: I'm sorry?
Carlo Bozotti: What is the question?
Tait Sorensen: On DPG, what percentage of legacy versus non-legacy within DPG?
Unknown Executive: And how much postponement?
Tait Sorensen: Okay, and of when [indiscernible]?
Carlo Bozotti: Yes.
Tait Sorensen: [Indiscernible]?
Carlo Bozotti: Jean-Marc?
Tait Sorensen: Jean-Marc?
Jean-Marc Chery: Yes, yes, yes. Sorry, it's difficult for me to comment the exact number of percentage between legacy and non-legacy product because it's a number we usually do not disclose. And the second part of your question is about the postponement?
Adithya Metuku - BofA Merrill Lynch, Research Division: Yes, how should -- when do you expect the postponed socket to come back? And how should I think about the evolution in the remaining quarters of this year for DPG revenues?
Jean-Marc Chery: The postponement of the socket.
Carlo Bozotti: Oh, the postponement of the socket that we said. Yes, this will be from 3 to 4 quarters postponement.
Adithya Metuku - BofA Merrill Lynch, Research Division: A 3 to 4 quarters postponement, did you say?
Carlo Bozotti: Yes.
Carlo Ferro: Yes.
Jean-Marc Chery: Yes.
Adithya Metuku - BofA Merrill Lynch, Research Division: Okay, Okay.
Carlo Bozotti: Sorry, we cannot hear well. Yes, from 3 to 4 quarters postponement, yes.
Operator: Next question is from Robert Sanders from Deutsche Bank.
Robert Sanders - Deutsche Bank AG, Research Division: A quick question on the Crolles 300-millimeter fab. I was just interested to know what your utilization rate is right now. And maybe if you can give us some color around your mix between embedded flash and logic. And just related to that, what your -- what you think your uplift in profitability could be if you -- once you start to complete your transition there.
Carlo Bozotti: Yes. So we'll comment on the loading.
Carlo Ferro: Yes, perhaps I comment on the loading and Jean-Marc, do you mind to take the one on the technology mix and data evolution. Starting [ph] to the loading, it is a progress. I would remind you that in Q4, the loading was 55%. This -- in Q1, we have experienced 68%. And this quarter, we expect to make another step ahead to go towards about 75% of loading, which, of course, is not sufficient yet not to incur into unused capacity charges. We said that we expect unused capacity charges to reduce by about 50% to an impact of about 0.5 point to the gross margin. However, it moved -- is moving in the right direction.
Jean-Marc Chery: So about the...
Robert Sanders - Deutsche Bank AG, Research Division: Go ahead.
Jean-Marc Chery: Yes. So I will stab at your question on technology mix. So about technology mix, okay, our objective is to have, let's say, one balanced technology portfolio. I have to say for embedded non-volatile memory for microcontroller, so both the [indiscernible] and Automotive, we would like to be in the range of 35% to 45%. In photonics sensor and specialized imaging sensor, our target is to be in the range of 20% to 25%. Then on CMOS FD-SOI and advanced CMOS, we would like to be in the range of 25%. And the rate [ph] of technology portfolio is analog, mixed-signal and photonics and high-performance analog, which complete the loading of the fab.
Robert Sanders - Deutsche Bank AG, Research Division: And just a quick follow-up on Automotive. You were down 2% year-on-year. I was just wondering if you'd give some color around the relative performance of key subsegments. So powertrain, infotainment, safety and body electronics.
Carlo Bozotti: Yes, I think we have certainly a good trend, a good traction in the Automotive, a broad -- across the board. We have an important effort in leveraging the -- this advanced strategy. We are now in production -- we're starting production with the third generation. We have a partnership in this area with Mobileye. And we have an increasing number of customers, including major customers, on everything that is related to the advanced strategy. If we look at car infotainment, our leadership position is very, very clear in everything that is around satellite radio applications. We are definitely the major supplier for satellite radio applications in the United States. And our Accordo family is -- together with our new Class-D products, is becoming a kind of reference products for many, many Asian customers both in Japan and in Asia. We also recently introduced a new family of digital tuner products again for car infotainment. This is -- for us is important because we are present in this business. This is now a new opportunity that we want to exploit in the car infotainment. As far as body and powertrain, we see a lot of traction with our smart power technologies, again across the board. I would say that a part to the currency effect that we already mentioned for automotive, the area where we had some -- let's say, a little bit of less traction is more in the mass market in the recent, let's say, weeks. And I think it's probably related to some forming of moderate inventory adjustments at the mid- and the small-sized customers that we serve through distribution while we see a very strong pattern with all our OEM customers.
Operator: Next question is from Gianmarco Bonacina from Equita.
Gianmarco Bonacina - Equita SIM Spa, Research Division: Couple of questions. The first one is about your PC exposure. If I got it right, you mentioned before it's about 25% of sales. But I don't understand...
Carlo Bozotti: No, no, no. Sorry to interrupt. It's 25% of what we do in APG.
Gianmarco Bonacina - Equita SIM Spa, Research Division: Okay, okay, okay. Okay.
Carlo Bozotti: Sorry, I think it was on -- yes.
Gianmarco Bonacina - Equita SIM Spa, Research Division: Okay. So it's only -- so basically, it's only about 6% of the group? So 25% of the 25%?
Carlo Bozotti: Yes, that's correct. Correct.
Gianmarco Bonacina - Equita SIM Spa, Research Division: Okay, okay. Perfect. The second one is about your guidance for the second quarter in terms of your divisions. I read that you said basically that most of the group will contribute. I guess Digital is a segment that will not contribute. Apart from Digital, which other segments will probably show a growth below the 3.5%?
Carlo Bozotti: Yes. Carlo will take this.
Carlo Ferro: So you were right at the end. The only group that would not contribute directionally to the growth is DPG for the reason already discussed. Then all the other are expected to contribute. Perhaps in MMS, the contribution could be slightly below the company average or so, considering how strong has been the past of MMS growth in the most recent quarters. And in the area of Sense & Power and Automotive, the current visibility is a growth slightly above the overall guidance -- average guidance for the company, with -- recovering in the Industrial with the effect of the new product in AMS and with the healthy situation in APG that Carlo just described.
Gianmarco Bonacina - Equita SIM Spa, Research Division: Okay. And just -- sorry, a follow-up. If you can mention on the bookings because I understood you said that in March, you had some weaker booking, especially on the PC vertical. Can you say something more maybe on the more recent trend, if that has continued or -- yes?
Carlo Bozotti: Yes, the recent trend is better, but I think it's premature to confirm that it's more structural. So yes, in the month of April, we had a better booking trend than what we had in March. And then, of course, we would like to confirm this during the next -- in the next few weeks, but it's a better trend.
Operator: [Operator Instructions] The next question is from Guenther Hollfelder from Baader Bank.
Guenther Hollfelder - Baader Helvea Equity Research: Two questions actually. The one on restructuring charges. I think in a past conference call, you mentioned about $40 million for the year. Can you confirm this? And the second question is, given the currency impact on sales, given that a major impact is on Automotive, do you think that any potential for price increases is very limited to offset this? Or are there some areas where you could react here with increases?
Carlo Bozotti: Okay, Carlo?
Carlo Ferro: So I think there is a question on restructuring, and thank you for the questions. This helps indeed to clarify that the $29 million that were incurred in Q1 is not only due to some anticipation but is also due to some extra cost associated with our discontinuation of activity in Longgang in some -- some local-related events. So I would say that the -- overall for the year, it's increasing, could be in the range of $55 million to $60 million. So what we have now to incur in the course of mostly the second and the third quarter is in the bulk of $30 million or just less than $30 million.
Carlo Bozotti: Yes, for the price -- prices in the Automotive, no, I do not believe that we will have a price increase with our automotive OEM customers. I think the way that we see that in the Automotive business, of course, with the euro -- if the euro would stay at this level, with time there will be some better alignment in terms of pricing because, of course, our non-European competitors are in a stronger way. But we will honor our -- of course, our contracts with the Automotive OEM customers.
Guenther Hollfelder - Baader Helvea Equity Research: Carlo, I was actually referring to non-Automotive areas, whether there are some...
Carlo Bozotti: Sorry. I didn't understand. Okay. Well, of course, I think we will do what -- we want to make sure that we align with the market. And of course, we are starting to see some adjustments here, mostly coming from our American competitors. And then, of course, we'll align, which is normal.
Operator: The next question is from Tristan Gerra from Robert W. Baird.
Tristan Gerra - Robert W. Baird & Co. Incorporated, Research Division: Could you give us an update on your 10-nanometer investment plan and whether you plan on doing this [indiscernible] as opposed to separate investments at the 14-nanometer?
Carlo Bozotti: No, we do not have any 10-nanometer planned, and we do not have any activity to invest in 10-nanometer.
Tristan Gerra - Robert W. Baird & Co. Incorporated, Research Division: So to confirm, is that the decision has already been made, and you are not going to invest beyond 14?
Carlo Bozotti: Yes, the decision has been made, yes.
Tristan Gerra - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then a question on your 6-axis gyroscope design win. You mentioned with Samsung Galaxy, there was a teardown recently showing your competitors. So is it fair to [Technical Difficulty]
Carlo Bozotti: Hello? We are missing you.
Tait Sorensen: You're cutting out on us, Tristan. Are you still there?
Operator: We lost connection with the questioner.
Tait Sorensen: Okay. We've got one more?
Operator: Yes. sir.
Tait Sorensen: Okay.
Operator: The next question is from Martin O'Sullivan from Cenkos.
Martin O'Sullivan - Cenkos Securities plc., Research Division: I had a question about competition in analog. I mean, one of your competitors based in Texas actually has just turned in its 7th consecutive quarter of year-on-year growth in analog. So I understood we may not be comparing apples with apples, but they seemed to be having quite a bit more success in analog than ST. So it's obviously well known that ST has lost some market share in MEMS. So perhaps you could remind us what ST is doing to be a bit more competitive in analog and when might analog actually return to healthy growth.
Carlo Bozotti: Well, I think our decline was on MEMS and not on analog at all. I think in analog, we have -- today, if I look at the 3 years market share on what we do in analog, we have gained market share during the last 3 years. There was a significant decline in consumer MEMS. And what we have in analog today is about $1.4 billion in the Automotive and about $1.2 billion in non-Automotive products. This is the total analog offering that we have. We have just reviewed the market share figures on the analog products in the very recent days. And during the last 3 years, we had, in fact, a good improvement in terms of market share. On the other hand, we had a very significant decline of revenues on our consumer MEMS in part coming from competition and in part coming from, let's say, strong -- a very strong price reduction on the smartphone part of our motion MEMS. We have been working here to compensate with a wider range of products, including environmental pressure and microphones MEMS -- MEMS microphones, but more importantly also to -- really to differentiate in different segments like, for instance, the Automotive brand -- the Automotive segment. So the analog part of ST, if we leave for a moment the MEMS part, is composed by, again, $1.4 billion of analog products. And this, of course, includes smart power products but not discrete products. $1.4 billion in the Automotive and about $1.2 billion in the non-Automotive sectors that, of course, is very much driven by industrial applications.
Martin O'Sullivan - Cenkos Securities plc., Research Division: I'm just wondering if you can tell us what the underlying growth in analog was in Q1, excluding the MEMS products, if that's possible.
Carlo Bozotti: I think we need to make math -- some math here because, well, I think it's probably better that we have a separate conversation because we need to take -- to extract the analog part from 3 of our product divisions. One is Automotive, the other one is AMS and the third one is IPD. We have 4 analog divisions in the company. We have one analog division that is focusing on industrials, one power analog products and we have 2 analog divisions in our Automotive Product Group. If you'll follow up separately from -- separately on this.
Tait Sorensen: We can cover it on Investor Day. Thank you. I think at this point we've got time for one more question.
Operator: Today's last question is from Dan Gardiner from Arete Research.
Dan Gardiner - Arete Research Services LLP: Can you confirm that -- in the light of the currency movements, that your intention to hit that 10% operating margin you previously talked about? And what sort of timescale is now realistic for that? And in light of the postponement of the DCG ASIC, can you confirm that you will be looking at strategic options again if that business is not profitable within the next 12 months? I believe you have previously.
Carlo Bozotti: Yes, Carlo will take the first one and I will take the second one. We are, of course, always putting a lot of scrutiny on our product divisions that are not performing. And of course, every product division must perform. And the scrutiny is part of what we are doing. But we understand that there are limits in the time we have to turn around the business. I think today we have a plan. Today, the plan is based on what you know, but the scrutiny continues. And of course, we need to show the results also in the Digital part of the company.
Carlo Ferro: Yes, well, to the first question, it's the same we gave 3 months ago. The model of the company and the financial target for the company remain the one that we have shared with you to achieve an operating margin of 10%. And therefore, the second half of the year, as Carlo said, we anticipate a significant year-over-year improvement in our operating performance. Also frankly, for this current quarter, it would not been for the specific onetime catching up of grants that we have incurred in the second quarter 2014. So each quarter, apart to this effect of the grants, we do expect and plan a significant year-over-year improvement in our operating performance, and the model of the company remains to target a 10% operating margin.
Tait Sorensen: Thank you, Dan. At this time, we'll go ahead and close the call. And again, we do have our Annual Investor Day on May 12. If you need any additional information, please contact Investor Relations, and we'll look forward to seeing you in London. Thank you, everyone.
Carlo Bozotti: Thank you. Bye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.